Operator: Good morning, ladies and gentlemen and welcome to the Dream Unlimited Corp. Fourth Quarter Conference Call for Wednesday, February 23rd, 2022. During this call, management of Dream Unlimited Corp. may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Unlimited Corp.’s control that could cause actual results to differ materially from those that are discussed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in Dream Unlimited Corp.’s filings with securities’ regulators, including its latest Annual Information Form and MD&A. These filings are also available on Dream Unlimited Corp.’s website at www.dream.ca. Later in the presentation, we will have a question-and-answer session. [Operator Instructions] Your host for today will be Mr. Michael Cooper, CRO of Dream Unlimited Corp. Mr. Cooper, please go ahead.
Michael Cooper: Thank you, operator. Good morning, everybody. I’m here today with Deb Starkman, the CFO of Dream Unlimited. A lot’s been happening in the company. And we decided that with the year end, we’ll provide information so that we can share with anybody who’s interested how we look at the company. What I would say is that, in March of 2020, when the pandemic was declared and all our life were turned upside down, there was a 12-week or 14-week period from that day, until about a week after George Floyd was murdered. That really made us question all the kind of assumptions that we have had, that you could walk about your life, you don’t have to think about getting sick, that I thought our community was really quite fair and it was really disruptive. And I mean, literally, at the beginning, it was like, maybe we’ll all die and all go broke and stuff, like there was a lot of changes in what might be the new normal. But pretty quickly after that, we started to figure out that the things will continue to function and you know always fine when you’re under tremendous stress or emotional times, the best thing to do is try to figure out one step at a time trying to achieve little things. And our company was okay, the people were okay at the company, that I think people really want to care about each other. We work with our tenants, working with different government agencies that we work with. And we started to challenge ourselves as to what would be the business that we would want to have coming out of COVID. And, we did it because we really wanted to have a better business, a business that was suited for the future. But we also did it, because everybody was locked inside their house, and people need motivation, they need to think, they need to be working on exciting things. So we really drove our all company, and to – try to figure out how do we change what we’re doing? How do we adapt to the future? And it’s been an incredible experience. I don’t know the COVID’s totally over. But I think we’re back the other side. And I think our Q4 results are starting to show how we create a different company. So that’s why we put together what I would call our spill your guts investor package. But just as an idea of what’s been going on since COVID. We created our Impact framework, which really focused on the point that through all of these changes, through disappointments in governments and everything else, like, the expectation on companies to do more good is palpable. And we think there’s a void there, that’s getting filled in and we decided to jump into it. We created a team for Impact that’s worked out really well. And as a result, for every asset we have, we set goals and pathways, a marketing system and we’ve – had our system audited and now we just every time we buy an asset, we look at the financial due diligence, we look at the building condition due diligence, and we looked at what the impacts are. We’ve been able – we’ve been very successful getting our RCFi Financing, which helps us build affordable housing. We created a pilot project with CMHC, which was an idea our team had to try to figure out how to create affordable housing within existing buildings, because just building affordable housing is – takes a long time, it’s expensive and it’s risky. And CMHC was wonderfully supportive of us. That’s – you know that’s how we got into buying apartments last year at Toronto. And what we worked on with them is now because – becomes something called MLI Select, which is based on the idea we had and it’s available across the country to encourage owners of apartments to reduce the carbon emissions from their buildings and to create affordable housing within existing buildings. And you know what’s great about it is on the 1,200 units that we bought so far that we’ve used for the pilot project, we’re creating 40% of those 1,200 units will be affordable. What’s really MLI Select, all the ideas we worked on with CMHC is new affordable housing that we had something to do with and I think that’s a pretty cool impact. We did along with Canadian Infrastructure Bank, the very first loan to a real estate company to decarbonize buildings. And you know we’re very close to CIB, having worked on this together with them, they encouraged us to work with other builders tell them about it, they’d like to create more buildings that are reducing the amount of carbon. We won a very important bid for us LeBreton flats in Ottawa, which is about 600 meters from our Zibi project, but it’s actually in the entranceway, so we wanted that one. And the work that we’re doing there, the social benefits are going to be astounding and we work very closely again with CMHC, the National Capital Commissions, a whole bunch of non-profits and we’re going to create something very special there. And in fact, that’s the first affordable housing project that we’ve done, that we’ve agreed to do where we’re targeting who are the beneficiaries of affordable housing. And that’ll be single mothers, First Nations, new Canadians, people with mental disabilities and veterans. So that – that’s actually a way to really try to target our impact, not just reduce the amount of rent anybody has to pay, but really focus on who the beneficiaries are. I’m not sure if people know it, but Harvard Business School wrote a business case on what we’re doing. And Jamie, Chris, and I went to Harvard to hear them present us, which was kind of cool. It was really easy to hear, because they’re not teaching this in thousands of business schools. And what they’re teaching about is, you know is there a way to contribute to making the world a fairer place through market investing. And it was wonderful to see how global the class was, and all their different views about what we’re trying to do. We raised the private Impact Fund, we also raised three other funds. And we created the Dream Community Foundation, which over time will become obvious how important it is for us to achieve the goals we want socially, while also achieving the financial returns that we expected that – that’s just a small sampling of what we’ve done in Impact since COVID started, but there’s a lot more. So what I’d like to do this morning is, have Deb present – what Deb presents. And then I think I just comment a little bit on the investor package we put up.
Deb Starkman: Thank you, Michael and good morning. For the 3 months and 12 months ended December 31st, 2021 earnings before taxes after adjusting for fair value gains and losses taken on Dream Impact Trust units held by other unitholders was $99.1 million and $151 million, respectively, compared to $29 million and $120 million in 2020. The change year-over-year is primarily due to our growing Asset Management rate. Inclusive of Dream Industrial REIT’s expansion, strong results at A. Basin, fair value gains on our investment properties and net operating income from our new GTA multi-family rentals acquired in the second half of 2021. Results for 2020 included the gain on our renewable power portfolio, the sale of 480 acres – at Glacier Ridge in Calgary and condominium occupancies Canary District Phase One in Riverside Square, BT Towns and Zibi. I’ll now briefly go over the results by operating segments. In the fourth quarter, our recurring income segment generated revenue and net operating income of $35.9 million and $10 million, respectively, compared to $19.8 million and $6.3 million for 2020. For the year ended December 31st, 2021, our recurring income statement generated revenue and net operating income of $116.8 million and $40.4 million, respectively, an increase of $24.5 million and $13.2 million over 2020. The change was primarily driven by improved results at A. Basin with all capacity restrictions lifted at the end of March, higher Asset Management fees largely driven by Dream Industrial REIT’s acquisition activity and earnings from our newly acquired multi-family rental properties. Included in revenue for the 3 months ended December 31st, is $11.4 million related to Asset Management and Development contracts with Dream Industrial REIT, Dream Office REIT and our partnerships up from $5.1 million in 2020. We expect these revenues to grow over time as we actively pursue new Asset Management opportunities. In fourth quarter, our Development segment generated revenue and net margin of $114.2 million and $26.7 million, respectively, compared to $28.9 million and $600,000 in the prior year. 2021 results were largely driven by the sale of 690 lots in Western Canada, including our first sales at Alpine Park in Calgary, up from 164 lots in the comparative period. Year-to-date, revenue and net margin for the Development segment was down from the prior year results as the prior results included the sale of Glacier Ridge in Western Canada, and a 190 occupancies at Dream’s share of condominiums. In 2021, we achieved 959 lot sales and a 119 housing occupancies. Today, we have secured commitments for 794 lot sales, 19 acres and 69 houses that we expect to contribute to earnings in 2022, continuing our positive momentum from 2021. Given the gap between our view of NAV and share price, we believe that continuing to buy back stock is an attractive use of capital and a driver for value creation. In 2021, we purchased 2.4 million subordinated voting shares for cancellation at an average price of $25.29 per share, for total proceeds is $61.4 million. We will continually look at the best investment opportunities while also considering how to best manage our liquidity. We also hold interests in both Dream Office REIT and Dream Impact Trust at 35% and 29%, respectively increases in senior management’s holding. During the year, we received $24.7 million in distributions from the Trust. As of February 18th, the market value of our interest in the Trust is $561 million or approximately 32% in Dream’s current market cap. I’ll now turn the call back over to Michael.
Michael Cooper: Thank you, Deb. And just to be clear, those numbers are for both the interest in Dream Office as well as the interest in the Impact Trust. I’m going to turn now to the investor package that we put out last night. There’s a couple of slides I’ll refer to. You know what standout you know on Page 3 is 51 million square feet of commercial and 27,000 units that we either own or have available to develop. I think it’s actually higher than that, but, the scale of the company is certainly getting to some significance. We have $15 billion of assets under management, what I would point out that between selling Dream Global, $4 billion of Office assets plus our renewable power, that’s $15 billion after selling $11 billion over the last five years. So, we move a lot around, obviously we put out the $60 per share, I’ll get to that in a minute. On Page 5, we show how we look at our Asset Management Business with the different public and private funds coming to about $10.7 million. The recurring income owned assets is at $2.4 billion our share. And I think that’s something to keep an eye on, because as you’ll see, every year we’ll be adding hundreds in millions of dollars of completed properties. Throughout this entire presentation, we really don’t have anything in it for potential purchases of new properties. When we talk, I’ll show it in a second. But all of the growth comes from assets that we build on the land we own and a lot of it is well underway. And that’s part number three, which is $2.3 billion. And here what we do is, we’re dividing out what we own in Western Canada, 9,000 acres from the Urban assets in Toronto and Ottawa. The one thing I would say is, you know we own so much land in Western Canada, if we start to say, you know, it’s 63,000 housing units, it’s enough for 200,000 people, it almost gets ludicrous. So we – we don’t get into too much detail about what that going to become. But we’ll give you a few hints as we go along. The slide, the money slide is Page 7 that says conservative fair value adjustments over book value. And I think what’s really interesting is, we wanted to share with everybody some values and how we get at it. I don’t think there’s a number here that we feel in any way we pushed. I think this is just exemplary. I look at it very simply. There’s about $9 extra over book from Western Canada, $9 from Asset Management, and then about $9 from land in Toronto that’s gone up in value and A. Basin and our – our units in public companies. So it’s pretty simple. I know people say we’re complicated. I think you’re complicated. And I think the company is pretty simple. So, we thought that this would help. Let’s see. So, we’ll go through in a second a little bit. But a couple of things that we’ve done. Again, this is all during COVID. Geographically, we’ve gone from having 6% of our assets in Canada that we [technical difficulty] asset manage to 28%. You know that’s a pretty dramatic change. And I think that we’re going to grow a lot in Canada. I think we’re going to grow a lot in Canada through Development across the platform, I think we’re going to grow by acquisition as well, but I think Developments will be the main driver, and then, elsewhere we’ll be growing mostly by acquisition, but some Development. If you look at the composition of the assets under management, you can see that like it’s kind of flat in 2019-2020. But underneath that, there were some real changes. And industrial has grown a lot. And we’ve got 12% apartments now, some of that developed, some of that’s been acquired. But that was zero two years ago. So, you know everyone loves sheds and beds we have a lot of that, we’re producing a lot more Office has been diluted. But I think we’ve been pretty active organizing the company in a way where we’re again even more favorite asset classes. In 2021 alone, we raised over $2.2 billion of capital for our public business. And in our very first year, we’ve got about $1.4 billion in private capital. You’ll see when we talk about conservative evaluation, the private capital will be losing money because we’re spending a lot of money to set up the business. And we don’t put anything into promotes. So, when we talk about let’s say 15 times multiple of our 2022 numbers, that’s basically saying that all of our work and all of our assets in the private business is worth about zero. So, that’s one example of how to be conservative. Anyhow, we’re pleased with the start on that business, but we have big aspirations for it. Over the last two years has been a tremendous focus on if we’re going to be in Impact business, we need to have the right credentials. And that’s just the way it is whether you like it or not, getting the GRESB Score is important, we get a lot of GRESB Score, the numbers are off the charts. When got an Analytics Score, it’s off the charts. So, it’s really been amazing because we didn’t pursue these scores to get legitimacy, we kind of pursued these scores to not lose legitimacy. So we’re pleased to have them and – and it’s kind of an afterthought, the real thought was, let’s try to own our buildings and manage them right. There’s some information on our private funds which is new. I’m just now on Page 16. A lot of this information is expected, except that we have 5,300 apartment units that weren’t there two years ago. We’re working on doing some transactions now that are identified, that’ll bring us another 3,000 or so. And we’re building a lot. So, on the West Don Lands, where we’re partners with Tricon and Kilmer. We are building almost $400 million building, it’ll be complete this year, we’ll start leasing it up and won’t be stabilized till next year. But that’s the first third of West Don Lands, the building that follows it is 18 months later, we delivered Block 11 earlier this year, and Zibi, we’re leasing it up, by the way, when it’s minus 20 outside, and then truckers have taken over your land, it’s hard to do apartment tours. But the truckers are gone now. And since they left on I think like three days ago, we’ve done three new leases. So we’re back in business leasing up the apartments. We – we’re building two more apartment buildings in Zibi right now. And each of these buildings adds like 150 units to 250 units. And you’ll see as we get through things you know it’s great, we got a lot of buildings, we’re building 100 units here or 200 units there in Saskatoon, we finished 121 unit building that’s leased up in under six months. It was about a 6 cap. And now we’re building the sister building to it. And we decided to build townhouses for rent. And you know we try a lot of things and you know often it works and often it doesn’t work. Our goal is, when it doesn’t work for it to be really small. And when it works for it to be really big. So we started with 9 townhouses. They’re not quite finished yet, they should be finished this month, no next month. But we’re already leased, which we’re excited about. So, in keeping with the way we do things, we’ve now given the go ahead to do another 100 townhouses in Brighton in Saskatoon. And you know this is incredible. It takes maybe eight months to build, and we’re building to 6 caps on those as well. So that’s pretty exciting. On Page 17, we got a picture of A. Basin. It has been crazy to try to run a ski area through COVID. And the first year of COVID, it was the first year we’re operating it with male. Absolutely nothing went according to plan. So last year, we had $10.7 million adjusted EBITDA, it’s the best we’ve ever had and we were still dealing with COVID. This year, started good then there was no snow. We had a terrible Christmas. But I think we had 8,000 skiers over the long weekend this weekend. Our numbers are fantastic again. So we’ll see how it goes. But A. Basin, this is another example, I think on the valuation we used 13 times some like that. We think there’s tremendous growth potential the next 24 months at A. Basin. So you know it could be worth more than the Distillery District has become the center of the east side of the city. And in a way, it really is our first urban Impact project. We didn’t use those words them. But Waterfront Toronto has in the middle of all their maps and whenever they talk about developing the port lands everything else, the Distillery District’s highly featured. I’ll try to be brief on the rest of this. 31A Parliament is part of the Distillery, it’s a piece of land we bought for $1.8 million. Now it’s over 800,000 square feet. We’ve got it zoned, we’re just about done at the site planned. And then the Ontario Government told us we can’t build it until the Ontario lines completed. So that’s fine with us. So just be worth more. Now we got enough around there. Alpine Park we launched, that – that land, we started buying in 1997. So, you had to be patient, but it is tremendous. We’re selling as much there as we want. In fact, right now the demand is so high for lots and the demand is so high from purchasers that we kind of agree with the builders, we’re just not going to over commend, because the hard thing is to deliver. So, we’re – we’re monitoring how many houses we think can be built, we’re only selling that many. Zibi everybody knows, but it’s actually happening now. And federal governments end we’ve got three buildings renovated. We got tenants moving in, we got 2 condo buildings just this week, today’s Wednesday, yeah just this week, the utility that we own with – Ottawa Hydro was connected from the Quebec side to the Ontario side. That’s the major driver of our net-zero. So it had been – we have been using cold water from the river and excess heat from the industrial plant on the Quebec side. Just this week, we connected, it’s now was heating on the Ontario side as well. Yeah, well, our Alpine Park is going to be sensational. Brighton is proving out a lot. It’s got a 40% plus market share. And it’s a community that everyone wants to be in. And that’s really supporting our business of building to rent. So I think you’ll see over time that we’re going to end up owning a lot of rental units in Brighton, we’ll do the same thing in Alpine Park, we’ll do the same – you know in Zibi, we hope to have a 1,500 housing apartments and more. And we’re doing a ton in Toronto. So, it’s going to add up to a lot of units over the next few years. And we got the chart that shows that. We thought when Impact investing a lot on Page 25, which show a lot of things we’ve signed up for or achieved. There’s a lot of talk about achieving net zero by 2050. We’ve committed to net zero by 2035. Just to – so, we’re doing along with Canadian Infrastructure Bank, we expect to reduce the carbon emissions by 40% on those buildings. So that’s one step. But if you look at Quayside, which I’ll talk about later, the LeBreton flats and Zibi, we’re going to have well over $8 billion of net zero communities like we’re doing that today. So if we can build with net zero now, we’re very confident that over the next 14 years, we’ll be able to work with everything else we haven’t get into net zero 2. So we think it’s totally achievable in 2022 will – that most likely published or make available our roadmap to net zero. Just want to go to 27. LeBreton is a very interesting community, we did really cool things on it. One of the things we did was, we partnered with a not-for-profit, a not-for-profit can get a different kind of financing than developers. And we work with them so that we could get extra affordable up to 41%. But we’re able to do it in a way where we’re going to make very good returns. Hardly enough, we’re achieving net zero in this location, because the major sewage pipes for Ottawa go under it. And we’re using the heat from sewage plus solar to create all the heating and cooling we need, which is something I didn’t expect. LeBreton’s public that we want it and we’ve actually got a binding deal. Everything’s been done. Last week, we were informed that our team was Great Gulf, we’d won the Quayside bid. And it was a tremendous accomplishment at every level, the detail that our teams put into winning this was astounding. And it started by saying, what kind of – who should be on our team and we put together the most amazing international architects and landscape architects and they did their best work. So we’re indebted to them. But they’re the guy I’d never heard of. And my wife Crystal said, we got to get Sir. David Adjaye. And everybody said, you can’t, he doesn’t do anything like this. I didn’t know who he was. But I just want to tell you a little bit about David Adjaye, who is the Lead Architect on the Development. He was born in Ghana. He’s the youngest recipient ever at the Royal Gold Medal, which is the highest medal for architects in England. He was knighted by the Queen in 2017 for the work he did for architecture, but a lot of it has to do with not-for-profits, accessibility and you know bringing the people and the real estate together. He designed the Nobel – the Nobel Peace Center in Oslo, he designed the Museum of Contemporary Art in Denver. He’s won many awards for the two libraries he built in Washington, which have become the beacons of those communities. He designed the National Museum of African American History and Culture at the Smithsonian, whose opening was named the cultural event of the year by the – New York Times. But he does have his work in Africa. And his work in Africa is focused on how to improve the lives of people on the continent. He’s never done work in Canada. He does whatever he feels like, he feels his work is important. He doesn’t do a lot of – he doesn’t do a lot of projects. And I said earlier that as COVID hit, we tried to figure out what was changing and what makes sense and how we should be in the future. And I mentioned that we started to focus on Impact and how real estate and social good, we need to look at that and we need to make it work. We need to make all of our real estate be more meaningful in our communities. As a result of that conversation about how we look at our business, David Adjaye said, he would do it, he would – he would work with us, which was amazing. That was just the start. But on every single level, our team killed themselves try to put together a bid that was, we wanted them to open it up, take a look at and say, you guys just won. We don’t know how the decisions went. But it was something out of this world. It was a moment where everything we’ve been working on came together. Now, why am I saying that? LeBreton flat is about a $300 million development. This is 13 acres, this will probably be a $5 billion development as a cultural center. In our – in our bid, we designed a 2 acre forest so that you can be on the waterfront, and walk on pathways and feel as if you’re in a forest. We built – we proposed the largest outdoor roof farm in the country, it’s actually the podium for all five buildings. It’s amazing. There’s pictures available at Waterfront Toronto, you can actually go on blogTO and you can see comments. And the thing that hit me with the comments was, this was a site that Google Sidewalk Labs is going to do. And there’s a lot of ideas about technology. There’s a lot of ideas about surveillance. My favorite comment in the blog was that, and because whoever wrote it, got it. They were saying, look, Sidewalk was looking at real estate and technology. And this design is about real estate and people. And they called it a post-COVID design. So, there you go. We think what we’re doing is really meaningful. We’ve got partnerships with every level of government, we’re making lots of money at it. And I think that there’s a lot of glue that keeps our leaders and everybody at our company together and happy. So we’re really excited about the work we’re doing. We mentioned before about the foundation, that’ll become more clear of what it does. In a while we just hired an Executive Director, we hired our First Community Ambassador, but that’s going to be a big part of us being able to deliver the kind of communities that we want, the kind of communities where people are better off living there than it was live somewhere else. So that – that’s just a few things that just to see if there’s anything else in here that’s interesting. Page 30 shows the apartments that you can see in it that were saying 2,760 in acquisitions in 2022. Those are obviously identified, but we’re going to get to 10,500 and the balance of that growth is just like finishing the buildings we’re working on now. In the appendix, we gave some background on our conservative estimate of value, quite honestly, it’s up to everybody else in the world to decide anything they want. But we wanted to provide a little bit of a guideline that you guys could judge and do whatever you want with. But just a couple of ideas. The Office REIT is what it is. And it’s one of the best portfolios of office buildings in the City of Toronto, City of Toronto is one of those desirable markets in North America. Very hard to replace the transactions that we do see are amazing. We just saw that the Royal Bank Plaza sold to one of the richest men in the world. And it’s sold at $800 a foot there’s a lot of work to do. We understand that because we did Scotia Plaza, and a building in Liberty Village sold for $925 a foot. That is astounding. And we sold to other really smart people the Blackstone. And I think that when you think about Office generally, you might miss what we do. Because what we do is really boutique luxury buildings, we’ve improved them a lot. That people like them. And you can just see in the Liberty Village example, these kind of interesting boutique buildings can sell for more than a Bank Tower. The Impact Trust I kind of whined about it on our conference call, that it’s so cheap. It is. One of the mind is generally when we want to do a development, we already have the equity in in the land. So your Dream Impact Trust is going to grow by $100 million a year minimum just from the construction work that’s doing, it’s funded. But we’d love to be in a position to do more good work. I think I mentioned that we say 43%. When we say affordable on average, the affordable units that we’re building, it’s saving about 43% of rent, we all said it’s $23 million. We haven’t included anything about Quayside which has another $800 million I think we have $150 million in Victory Silos. So I wouldn’t be surprised we get to $40 million of savings for renters pretty quick. And I guess like if we did $100 million of savings a year, we’d be housing maybe 10,000 people to just for a site – so we’re up to about 2,500 units, including Quayside, John Tory promised that for all Toronto, they would do 10,000 units, new units of affordable during his term. So, I mean just for scale, we’re – we’re contributing a lot. On the Urban Development Lands, absolutely record prices for land today, condo prices are through the roof. We’re using $200 a foot for 31A Parliament, $250 for Canary Block 13. Canary Block 13 we’re working on selling it. It’s the last site left for the Pan Am Athletes’ Village. It’ll be about 600 units. 31A Parliament, I mentioned with 800,000 square feet or maybe 600 units, but it’s got 300,000 square feet of commercial. Block 20, we haven’t built yet, that’s in West Don Lands. Well if you take Quayside and we take Victory Silos, I mean that’s about another 8,000 units that we have to build. But we did finish 1,400 in the Distillery, 1,400 in the Pan Am Games, we’re just about finished another 750. So, that’s almost 3,000 we got the Indigenous Hub under construction, we’ve got Block 3, 4, 7. So you know we’re probably about 40% of our way through building in that area. And I would also add, that’s probably one of the biggest assemblies of land in the downtown area that anybody’s involved in. I think we’re up to almost 70 acres of land that we have are or will be developing in downtown Toronto. So that’s where the fortune. Western Canada we put in that we think the land with 80,000 to 100,000, we used 80,000 a year you know even just the way you want. But Alpine Park is going and that means we’re getting a lot of money per acre, there’s a lot of demand. So, I think that’s a reasonable value. A. Basin we’re using 13 times $10.7 million to get to the value, we’re hoping we can get that to $15 million in the next couple of years. So that’s got lots of upside. And the asset manager, we’re really at the beginning of creating an asset manager. Brookfield came up with their idea that maybe they split them up. Blackstone’s trading at more than any Canadian bank and they’re asset-light. So you pick a number of what an asset manager’s worth. But it really hit us. So after we made our presentation to the Board in December for our 2022 plan, we actually went away had another retreat and came back with more ambitious numbers that and a plan as to how we could try to create an even larger asset manager. There’ll be more to come there. But we’re really just showing the 15 times multiple of a part of the Asset Management Business. Hopefully we’ll grow it and hopefully as we grow it, we’ll even get better margins. So I think that’s got a tremendous amount of upside. I think at some scale that goes from 15 times to 25 times. So we’ll stick with the numbers are fairly conservative. That’s just our view. That’s why they come into the Office. One thing I would say before we answer the questions is, Jason Lester and I used to race sailboats a long, long time ago, we’re pretty good at it. And every once in a while, we’d have a different idea than everybody else. And we called it a flyer, a flyer was, when you went as far away from everybody else as you possibly could to try to get a different wind. And it’s risky. Because if you don’t get the wind you want, you’re going to be behind everybody. But if you get the wind that you want, you’re just on your own, you’re in your own sort of state of mind and you’re going in a different speed. I would suggest that when COVID hit, we went on a flyer. Then we started to think about our business differently than we ever had. And then we tried to go as hard at it as we could. And we’re just starting to see it coming together now. And Quayside was a real indication that what we’re doing is good enough to compete with the best. The best doesn’t matter. The best private developers, the best local developers, the best whatever. The competition for Quayside was amazing. I’m sure every one of their plans would have been outstanding. But I think that our team is really focused and we got through COVID. Well, for our own well being we got through COVID on what our role is, and as we head into 2022, we thought we’d share more with you in terms of what our company is. And hopefully, that’ll help you understand and come to your own conclusions on our business. Okay, any questions?
Operator: Thank you. We’ll now begin the question-and-answer session. [Operator Instructions] And our first question is from Dean Wilkinson from CIBC.
Dean Wilkinson: Thanks. Good morning, guys.
Michael Cooper: Good morning, Dean.
Dean Wilkinson: Michael, you’re not complicated, you’re misunderstood.
Michael Cooper: Any empathy is appreciated.
Dean Wilkinson: I – I share it with you. Thanks for the keep your guts out disclosure there, there’s a lot of helpful stuff in there. I won’t go through a lot of the detail as you know we better on ourselves. I just want to ask you, when you look at the three rather large switches you’ve got now, so you know that the AUM and the growth in the – in the private investment vehicles, the recurring income owned assets and the development over the next couple of years, which one of those levers is likely to sort of you know move the dial for us in terms of – of the financial results?
Michael Cooper: Yeah, so that – that’s really interesting, because you know it takes us two and a half years to build $100 million building, and we own half of it. It’s great, it’s amazing. And it’s an asset that hold forever. And you know all the things we’re doing are to get amazing quality properties. However, if we’re able to attract money to our funds or create a new bond, the leverage on our earnings and value, that’s the fastest. That’s why after we presented our business plan in December, we’re going to look each other said. Okay, that was really interesting to hear so to speak, we got to go away and – and rethink it. So that – that’s really been our realization. And we were doing this prior to Brookfield’s announcement about how Asset Management work. But basically what I – what Brookfield was saying, if I read it right, well they’re saying, the trajectory on Asset Management is so steep. And if they do a great job on real estate, they might get a 9.5% return compared to 8%, that if they’re growing the business at 30% a year, that’s just an anchor, so they should separate them. I think that’s what they were saying. But that was - we were already working on it. But when they said that it was pretty amazing to help us understand.
Dean Wilkinson: So and that, and when you look at those private investment vehicles, I mean you know obviously the – the two biggest fleets are the two most favored asset classes. Is that something that you could see going standalone and you’ve already got Dream Industrial. So I don’t know if that to compete with that. But from the multi-family side like, where do you hit the scale in any of those vehicle? And – and within you know that private stuff that – that you can look at doing something to that effect or is that not in the radar?
Michael Cooper: So, yeah, yeah for sure. I mean, it’s interesting, if you said like, well what would you do rather than use your capital to buy back stock? I mean, the one that’s really incurred to us which we’ve been doing is, using capital to start an Asset Management vehicle, and the returns on that are very high. So if you talk about the residential that we’re doing, we have a plan and we think that we should have a dedicated apartment vehicle. And the only thing is [expense] [ph].
Dean Wilkinson: Okay. You’re good at that. Last one for me on the Asset Management. The guide is $29.5 million of EBITDA. What’s the – what’s the revenue assumption under the margin if you take into that estimate?
Michael Cooper: I have no idea. What – what we were doing was, we doubled the size of our fee business last year. And we did have the assets either invested or for the whole year. So you know 2021 wasn’t a good number. So we sort of just applied some numbers going forward. As I mentioned, our private business, the margin at this point is zero basically. But that’s okay. I mean, we’re – we’re spending a lot of money. We’re hiring a lot of people and it’s going great. We just need to have a platform in order to attract the money. And then the margins on our public businesses I think you can see them if you just – you can see them before we started the private business. Because that’s all we had.
Dean Wilkinson: Yeah.
Michael Cooper: So I think if you look at 2020 numbers, that’d be pretty clear. I don’t know if it’s changed. And I don’t know, Deb, do we? Do we? – is there any? – is there any division between the public and private assets in our disclosures?
Deb Starkman: No.
Michael Cooper: No. One thing we haven’t really emphasized much just for no reason at all, is that, when we develop, we’re the actual developer, Dream is the actual developer for everything we talk about whether it’s in the Office REIT, the Industrial REIT, all sorts of things. And I think we’ll start to see that those fees will be in excess of our overheads and will start to be a contributor.
Dean Wilkinson: Right. So there’s the most torque would be in – in that that side of the business that’s a [technical difficulty] scale. I will hand it back. Thanks. Again, thank you for the disclosure and congrats on the Quayside. It’s a great deal.
Michael Cooper: Thanks, Dean. Appreciate your interest in our business.
Operator: And our next question is from Sam Damiani from TD Securities.
Sam Damiani: Thanks. Good morning, everyone.
Deb Starkman: Good morning.
Sam Damiani: So, yeah thanks again for all the – all the detail, very much appreciated. Extremely interesting. Just to finish off on the – on the Asset Management NAV, that $29.5 million, does that compared to the $17 million in the MD&A?
Michael Cooper: Yes.
Sam Damiani: Okay. And so that’s pretty significant growth. And – and what attributes that are not, but like, is there an embedded AUM growth beyond the $15 billion today or $9 billion fee earning to get to that number in 2022?
Michael Cooper: No, it’s really getting the money we raised, invested for a whole year.
Sam Damiani: Okay. All right, that’s helpful. And then, I guess back to also one of Dean’s other questions. I’m just looking at the scalability of the Asset Management platform. Clearly, you’ve been on a strong trajectory the last few years. But and I know we’re implicitly the guidance for the NAV is zero growth I guess, But – but realistically when we look at you know this year and next, I mean, what – what you know what do you see as the levers that you could pull to you know to take that? You know how – how much harder I guess?
Michael Cooper: So I’m smiling as you say that, because I think the biggest lever is, we need to get institutions to like us.
Sam Damiani: So okay, let’s assume that – 
Michael Cooper: That’s actually my full answer. But – what I would get at is, I’m going to make up a number, it’s just as an example, but it just seems like institutions have 50% more capital for real estate than they did before COVID. Like it’s massive, okay. And they got like Blackstone and Brookfield, they’re killing it. I [don’t] [ph] think that all have doubled their assets under management during COVID from 250 to 500. So – so you can see that these mega global asset managers are doing great. There’s some asset managers that didn’t get enough scale, and they’re kind of going sideways. There’s other ones that didn’t have good numbers. What surprised me is, I think there’s lots of room for new entrants. And you know we – we’ve been well received. And I think from Quayside, we knew that Sidewalk Labs of Google’s was their site. I think all of these things help us get audiences and hopefully we’ll be able to get out and see enough people and they’ll find what we’re doing compelling. So, we’re – we’re pretty confident that we are finding opportunities that get good returns, we’re pretty confident that if we got the money, we are able to execute not just an acquisition but also getting the returns. So a lot of it is just introducing ourselves to investors.
Sam Damiani: On the private capital side of the business you know it’s pretty – pretty quick start you know when you launched that I think your $1.4 billion raised last year and you’re guiding I think to $1 billion in 2022. You know what – what specific areas do you see targeting to – to you know raise that $1 billion on the profit side?
Michael Cooper: It’s a great question, because it kind of changes every day. You know there’s a series of meetings that was just went on. Again to foreshadow, there’s something coming on the residential side. And that we’re working on a couple – a new segregated funds. And then we’re hoping to raise more money to the Impact Fund working on that now. We want to raise more money for the Industrial Fund. So we’re probably saying it’s 6 out of 7, 6 or 7 out of 10 work we should get to $1 billion.
Sam Damiani: Okay, over to A. Basin. I mean, pretty huge recovery last year and you think the EBITDA can grow to $15 billion. What – what sort of timeframe was that? And what – and what needs to happen I guess where you see 2022 – 
Michael Cooper: What needs to happen? Okay. We need the same rules for a while.
Sam Damiani: Yeah.
Michael Cooper: We need to have an average snowfall. And then I think we get there. There’s a few other things. We did a deal with Ikon and that we have a limited access to Ikon. People are loving our skiers. The experiences are amazing when I say that, I mean like statistically based on all these things were 4.8 or 5. And by the way, just out of curiosity, if you can’t sleep, just look at the kind of comments that Vail is getting, Vail reduced their seasons pass tickets by 20%. We had a bad start to the snow season so they didn’t bring on employees. There’s a – I can’t get it, but Jamie can. He you show me a video and records this weekend of a line of over two hours to get on a gondola at Breckenridge to get to the chairlift line. So, we went the opposite way, again, a bit of a flyer, we reduced the number of skiers, we raised our prices. We limited the number of season passes, and people are having a great, great time. So, at 3,000 skiers a day, we have no trouble with line, no trouble with anything. We think we can do more but the deal with Ikon, we limited the access to those holders too much. So we’re hoping to – if we make some changes there, that could help us. The big news, previously unannounced is that, we have bought a high speed, new chairlift to go up to the top of the mountain from – midway. And we’ll have six seasons a very large sophisticated lift. And that will get people access to the top of the mountain to our expansion of Montezuma and our expansion into the Beavers and Gullies. And that’s going to make the experience even better. So I think if we have a consistent snow through the fall, little more Ikon visitors and then in the spring, I don’t know it’s getting pretty exciting. We got decent snow, decent weather this weekend. We had huge yields on our tickets, huge – people are spending money. So like, we just need a – I don’t understand. It’s almost like you know you have one week and you have another week and they seem similar. By the way, we had 25 people a day dropping with Omicron over Christmas. We only have like 350 employees, we lost 25 every day, we closed the ski rental shop, we reduced it to like two items of food. The guys are magicians the way that they’re managing with nothing and yet was our best year. But you know we see what they’re just if you can get employees and if you can use the ski rental shop and if you can have all your restaurants open, we should be able to do a lot better than $10.7 million. I know it’s a long answer.
Sam Damiani: No.
Michael Cooper: Yeah. A. Basin this year was the National Geographics’ 10 best worldwide adventures.
Sam Damiani: And I don’t know why I haven’t been there yet.
Michael Cooper: But I do want people to hear that we haven’t seen with everything we’re dealing that just absolutely excellent assets.
Sam Damiani: And maybe just to finish off on the – on the Western Canada. You know obviously a huge – huge year for sales – 
Michael Cooper: Great thing, oil through the room.
Sam Damiani: Okay, I’m not going to go there. But the MD&A kind of guides to higher lot sales in 2022. Just wanted to be clear on that. And when we look at the average sale price you know which included Alpine Park in Q4 really, really jumped up to 141,000 a lot. Is that – Is that a good sale price to use for that I guess for 2022 and going forward?
Michael Cooper: Yeah.
Sam Damiani: And how do you think about you know sales going forward and builder inventories and I don’t think you’re planning on getting back to 1,800 lots like you were doing you know years ago but you know how excited should we think about the market and the healthy – the healthiness of it I guess?
Michael Cooper: So I would say it’s about like A. Basin hasn’t had like two weeks that were similar. In Western Canada. I mean, we reduced our staff by half. We didn’t build anything that wasn’t sold. So we talk about numbers in 2022? Effectively, we’re not spending any money developing land, we don’t have a lot sold. So you know whatever we’re saying is right, because we got contracts. We’re – we’re not developing anything now and say, hey, let’s see what happens or anything like that. So, we’re – we’re trying to manage it without taking on a lot of risk. But who knows, I mean, if we have another year or two like this, we may want to be a little bit more expansive. The part that is interesting is on the first apartment that we built in Brighton. If you use land and fair value, we made $5 million by building that building on an acre and a half. And we’re doing again, so we’re going to try to get a lot more value out of less real estate going forward. So, I think you’ll see that with the townhomes and everything else, it’ll be good.
Sam Damiani: That’s great. Thanks very much.
Michael Cooper: Thank you.
Operator: Our next question is from Chris Koutsikaloudis from Canaccord Genuity.
Chris Koutsikaloudis: Thanks. Morning, everyone.
Deb Starkman: Good morning.
Chris Koutsikaloudis: You know I guess as we – we look out kind of over the longer-term, Michael, I’m just wondering if you have an ideal or maybe a target asset allocation for the business between Asset Management, Recurring Income and Development?
Michael Cooper: Sorry, could you repeat that?
Chris Koutsikaloudis: Just thinking about your NAV over the long-term, and where you kind of want to derive value or where you see the value of the business kind of being allocated?
Michael Cooper: I think we’re going to continue to look for opportunities. But I would say that you know we hope the Asset Management Business grows really big. And if it does, it’ll dwarf our income properties. So the allocation be determined primarily by how much money we raise. The second thing I would say is you know with the Impact Trust and the Impact Fund, more and more of the ownership of the developments are happening there and not in Dream. So Dream is likely going to own less of new pieces of land in the future than we have in the past. So, we’ll be doing more and more developments, we’ll own our interests through the funds, we might own a little bit if it’s too much money, the Quayside, where Dream may take a piece of because it’s so big, we’ll see. But a lot of the properties will end up owning through the funds. And we want to make sure that Dream manages risk okay. But we want to develop and keep assets and I’ve said earlier, it takes a lot longer to build $100 million building than it does to raise $1 billion that might be worth a lot more than that in our Asset Management Business. So, we’re not going to do the allocation that way, we look at the income properties and say, how do we make sure that we got a lot of recurring income? How do we make the company safe? In a while, Dream and we got to $30 billion of institutional assets in five years, let’s say, it’ll be – it’ll overwhelm our income properties in value. So we don’t say what’s the right balance there. Kind of we have a balance on how we manage their development assets, and how we get to recurring income and then we go as much as we can on the Asset Management from third-parties.
Chris Koutsikaloudis: Got it. That’s helpful. And then just – just on the Development side you know having – having now expanded the pipeline with LeBreton and Quayside. Just wondering you know is – are you guys kind of happy with the projects that you have now? Would you still be adding projects? Or you know is the capacity the team kind of satisfied with the amount that you have going on?
Michael Cooper: Yeah, it’s a great question. We asked the team and they’re like, no, we’re going for more. So, I think they’re feeling quite confident. We’re having continual meetings on strategic partnerships, so that we can share some of that work with people. But there is a big shift going on. And what – the way it works is, every level of government looks for land that they are not using very well. And that try to figure out how to patch it up so that they can sell it to a developer to create affordable housing. And I think I heard it was like 36 different opportunities in 2022. I made up that number. It’s significant. So we’re definitely going to continue. And those projects if you get them right, they can be not too capital heavy and we feel there’s less risk in them and especially, because they might have 30% or 40% affordable which we expect to be leased all the time. So yeah, we’re still going to – we’re still looking, we’re looking a lot.
Chris Koutsikaloudis: Okay, great. And then just last one for me. Your investor presentation references US multi-family portfolio is expected to be acquired later this year. Just wondering if there’s any more detail you can give us about these properties and where we should assume this portfolio will sit whether that’s going to be in one of the private funds or in Dream itself?
Michael Cooper: So at the Impact Trust Conference Call, I was asked if I could say anything about Quayside. And I just heard about it 10 minutes earlier. So I said at this time, I can’t say anything. And I could two hours later. On the residential, it’s not that soon. But I would say was – within six or eight weeks, there should be lots of information, but there’s no point providing any more than that. We’re – we’re going to pursue something new and it will be in the Asset Management bucket.
Chris Koutsikaloudis: Okay, thank you. That’s it for me.
Michael Cooper: Thank you.
Operator: [Operator Instructions] And I show no further questions at this time.
Michael Cooper: Okay, well. Thanks everybody for tuning in. We did spill our guts in that presentation, we will not be doing that every quarter. And I don’t even know if we’ll ever do it again. But we’ve just been thinking of the company so different than we used to. We felt that we needed to share that with you. So you could judge us on how we look at the company. So, you know it’s there as sort of some ideas you do your best to come up to your own conclusions. But I do think that our goal was to show you what we’re doing and what we think about it. So, thanks for sharing it with us. Open to your feedback and by the Impact Trust. Speak soon. Bye-bye.
Operator: Thank you, ladies and gentlemen. That concludes today’s call. Thank you for participating and you may now disconnect.